Operator: Good morning, everyone. Welcome to the First Quarter 2022 Conference Call for LifeWorks Incorporated. Please note that this conference call will contain forward-looking statements, which reflect management's current beliefs and expectations regarding corporation's future growth and results of operations. Actual results could differ materially from these anticipated. I would now like to turn the meeting over to Mr. Stephen Liptrap, President and Chief Executive Officer of LifeWorks Incorporated. Please go ahead, Mr. Liptrap.
Stephen Liptrap: Thank you, Paul. Good morning, and thank you for joining us. On the call with me today is Grier Colter, our Chief Financial Officer; and I've invited our new Board Chair, Bob Courteau, to sit in with us since he's in the office for AGM later today. Welcome Bob. And Bob will be available later in the call if anyone has a question for him. Earlier this morning, we released LifeWorks' financial results for the first quarter of 2022. Later this morning, at 10.30, we will be holding our virtual Annual General Meeting. Today, I'll kick things off by reviewing our results and the highlights in the first quarter and talk about those in the context of lockdowns, followed by a few brief comments on our strategic plan. I'll then turn it over to Grier to cover our Q1 financials in more detail. As we have seen in the earlier quarters of this pandemic, hard lockdowns have an impact on our fee-for-service businesses as most of these are delivered in person at a client-site. Good examples are training business where clients want us to talk to their employees on-site or our trauma business where we help employees who may have been part of a robbery or other significant event. The shutdown of these businesses impacted our growth temporarily in the quarter, as it did in Q1 and Q2 of 2020. However, these will come back as we start to open up in Q2 and we see being back to normal for Q3 and Q4. On the other side, our core mental health well-being, EFAP, and absence management businesses continued to perform well, and we continued to grow our market share. Our mental health and well-being businesses, traditional EFAP plus grew at over 5% in the quarter. And our absence management business grew over 6%. We also saw some significant wins and win-backs from digital-only providers in the quarter, which I will talk to later. We continue to make progress against our margin target at 19% to 20% by the end of the year. We ended Q1 with 18.7% EBITDA margins, up from 18.5% in Q4 and 18.2% in Q3. Our two key drivers of counselor mix and pricing are making a difference. We increased our staff counselors to 59% from 56% compared to the previous quarter and up from 43% a year ago, a very strong result. And we wrapped up our pricing pilot with excellent results and moved well into full implementation. Grier will talk more about the expectations of pricing, but we see a clear path to significant margin impact as we move into Q3 and Q4. We also saw progress in our Retirement and Financial Solutions business or RFS, where the lockdowns resulted in revenues showing actual declines in prior quarters. In Q1, we returned to growth and we expect this trend to ramp up as we move through the year. At this point in the year, our key metrics show us winning market share, getting back to mid to high single-digit growth in revenues for the full year. The biggest drivers were all positive and include a strong pipeline and sales wins, a higher than historical win rate, as well as win-backs and a strong retention rates, which are all tracking well. Regarding the LifeWorks platform, we are pleased with our continuing growth that strengthens our position as a technology leader in our markets. At quarter-end, there were 7.1 million lives on the LifeWorks platform, up 32.7% from 5.4 million lives a year ago. Organizations paying for extra LifeWorks modules is up 56% year-over-year. Microsoft Teams users accessing LifeWorks' platform grew to 140,000, a 40% increase over just last quarter. Keep in mind there are over 270 million people using Microsoft Teams every month. And we offer a fully integrated wellness experience to those users or clients to integrate LifeWorks into Teams, and this is resonating with current clients and in sales presentations. These metrics are critical, as they are the leading indicators of our overall future growth, our platform growth, our ability to add services to our clients' 36 million employees, increased retention and owning the well-being and mental health spaces globally. And finally, since acquiring the Breaking Free substance use management platform in January, we've won nine very good contracts right out of the gate and have seen tremendous interest from clients about adding a SaaS substance use module to their platform. Let me offer a few comments on client highlights in the quarter and their significance. In our IHS business, we won back six accounts from clients with digital-only competitors who were clearly looking for a richer model for mental health support, one that offered in-person in services in real-time, not just digital-only interaction. The biggest of these contracts was with the Quebec Crown Corporation, Societe des alcools du Quebec or SAQ, which is a main distributor of liquor products in the province. SAQ left us a year ago and tried a digital competitor. And 7 months later, they let us know they'd be going to tender again, which they did in February. SAQ chose to return to us in order to provide a full offering of support for their employees, including in-person among other client service attributes that they were missing from what they had in their previous experience with us. In fact, we are seeing a trend for those clients coming back to us. Overwhelmingly, the two main reasons are because their employees demanded face-to-face for their serious mental health issues. And because of our being the largest employer of counselors and having the largest network, we can get people to help they need much faster than any competitor. We are having these conversations with other clients, as employees come out of lock-downs and want a broad range of support their employers, not to be forced to a single solution that might not work. In Administrative Solutions, we also had a major win-back with the State of Nevada's Public Employees' Benefit Program. We won back a major health and benefits admin contract involving 45,000 members, given their poor experience with a competitor, that, as we understand it from their public meetings, wasn't up to the task. These are win-backs that support our view that in the markets which have increasingly complex requirements and bringing together human talent and digital support, we are well positioned to lead the pack against competitors that don't have the depth of our capabilities and our decades of experience in meeting complex client needs. In addition to the win-backs, Q1 saw a number of sizable wins or up-sells in each line of business. In IHS, we won a significant EFAP, RFP up-sell for CAG, Center d'Acquisitions Gouvernementales, a non-profit government acquisition center for the province of Quebec. We also won an iCBT contract for Canadian employees of a leading global shipping company. Signet Jewelers, the world's largest retailer of diamond jewelry, selected us for a telemedicine telephone health coaching solution in the US and Canada. An existing client, a large home-improvement retailer in North America, selected us for a telemedicine solution. And in our Retirement and Financial Solutions business, a longstanding client, a large, multinational food manufacturer, selected us for the define contribution and CAP plan design and implementation. In our Admin business, we won a multi-million dollar contract with the State of Oregon Health Authority for benefits management, Ariel and health and welfare. We also won a multi-million dollar benefits in SaaS contract with a national state-based benefits provider in the US. Overall, we are pleased with the market reaction to our platform and the fact that we offer a full continuum of care and support. Whether someone needs support in-person or digitally, we take care of them. We believe in that model and it is reinforced by our clients and prospects every day. However, that does not stop us from continuing to invest in our digital capabilities. We have been investing in digital capabilities more than 15 years, where we launched the first app in this space to today where we have the first substance use SaaS solution on our well-being platform. We see an amazing opportunity in the mental health space where one in three are at high risk in their mental health, and high risk drinking in the workforce has increased four-fold. Beyond that, more people are aware of the need to actively invest in their mental health and appreciate employers who also invest in their mental health. We have a product roadmap that is being tested with clients every day, with features that help clients build stronger relationships with their employees, improve retention and productivity. We are the only organization that can combine EFAP, mental health, depression care, psychological services and well-being, all in an integrated way. We will continue to evolve our roadmap, with our clients' input to create, what we call, continuous coordinated care or LifeWorks Total Mental Health, which leverages machine learning and artificial intelligence combined with our unmatched capacity to provide in-person support through our global counselor network, all toward delivering the right service to the right person at the right time in any way, in-person, digital, chat, video, on any device at any time. As we pulled together IHS and HPS last quarter, we are now building the elements of Continuous Coordinated Care, which will be an integrated solution that provides access to personalized therapy, helping people with self-guided exercises, check-ins and feedback loops and having a dedicated therapist to call on will be an important part of our differentiation that makes our LifeWorks Total Mental Health an exciting evolution of our solution. In closing, we continue to execute against our strategic plan and are excited by the future. Total well-being will remain the core of our strategic plan. The ability to differentiate by providing and integrating services across four pillars well-being, mental, physical, financial and social. To continue doing that at a market leadership level, we have a strong portfolio of businesses, each with a solid core of recurring revenues, each prime for growth and each playing a vital role in taking us forward for the next 5 years. Our growth strategy to win continues to have three pillars. One, consolidate and rapidly expand our leadership in mental health and well-being markets but emphasizing mental health even more so, accelerating growth through US and global expansion and driving world-class delivery through people and technology. Going forward, we have some amazing strengths to build out. We're the world's leading mental health and well-being provider trusted by some 25,000 organizations and their 6 million people. We offer the most comprehensive range of mental health and well-being services available to our clients and their people. And we make a substantial positive impact on our clients and their people every day. In previous quarters, I've talked about the four levers for growth that gives us confidence in our business model. One is a solid core of recurring revenues across our businesses and those are increasingly tech-enabled. The second is our accelerating global expansion from a strong North American base. Third is our proven ability to grow by innovating with new digital technologies to create market leading solutions. And fourth is a much stronger growth opportunities we expect in the global mental health market. In total mental health, the evolution of our offering fits into this perfectly. On that note, Grier will review the financials.
Grier Colter: Thanks, Stephen, and good morning. We made very good progress in Q1 as it relates to our pricing initiative, operational improvements and performance in our most strategic service lines. We are very pleased with our margin improvement in Q1 to 18.7%, as we continue on our path to higher and more traditional margin levels. Our overall earnings quality improved in Q1 due to the completion of our Workday ERP project in Q4 2021 and we saw lower year-over-year CapEx in the quarter, resulting from the completion of our GTA office consolidation project in Q4 of 2021. As we announced last quarter, we have combined our HPS and IHS businesses into a single line of business and we have expanded the service line disclosure within that business to provide better transparency. As Stephen touched, on we saw solid growth in our core mental health and well-being services at 5.1%, and I would think of this as our core recurring E&P and revenue driven from customers that are on the enhanced well-being platform. We have separately disclosed fee for service revenue, representing non-recurring service lines which are impacted by lockdowns such as training and trauma, which declined 29% year-over-year. We expect that our fee-for-service revenue will improve as economies continue to open up, and this will be a factor and getting back to normal growth rates in the mid to high single digits. Coming off a year of very strong growth in our Administrative Solutions business which grew at over 6% on a constant currency organic basis in 2021, this business slowed in the first quarter to 0.2%. Recall that this business is concentrated on the mid-to-large end of the market and it is not unusual for this business to have somewhat lumpy revenue patterns, which we are seeing in Q1. But we fully expect this business to generate growth rates in the mid-single digits over the longer run. In our consulting business, Retirement and Financial Solutions, which we were pleased to see the revenue building again in the quarter, and as Stephen points out, it puts RFS back in growth mode and we see this momentum continuing to build as we move through the year. Although, our revenue was relatively flat for the quarter year-over-year at 0.7%, we see a good momentum building across all business lines coming out of Q1. And one last item on revenue before I move on as to a brief update on our pricing initiatives. Today, we have communicated about $10 million in run rate pricing uplift to our IHS clients. These increases were not made across the board. They were done in a targeted way based on service utilization assessed on a client-by-client basis, and we are encouraged by the positive response from our clients as we invest in this business to provide best-in-class mental health support. By year-end, we expect to approach a $15 million run rate increase in pricing with $7 million to 8 million of this being realized in year. To simplify this, we are targeting approximately a 150 basis points of improvement by Q4 of this year, which not only provides additional revenue growth but this will also flow through to margin improvement. Let's turn to margins, a continuing focus for us, as we've discussed on previous calls. Adjusted EBITDA was $48.4 million for the quarter, down 8.2% over last year. Recall that in Q1 2021 we had not experienced the significant returns in-person counseling, which we are continuing to see today, and this bodes well for our business over the longer term, as this is a key point of differentiation with our competitors. And we continue to make good progress on cost, as we shift our counseling network to in-house salary and clinical staff, which increased to 59% of the mix in the first quarter. Adjusted EBITDA margin came in at 18.7%, which follows on 18.5% last quarter and 18.2% in Q3 2021. We are happy with the progress here. Overall, profit was up 38.1% year-over-year to $14.1 million or $0.20 per share, which was driven primarily by the reduction in expenses as we completed our workday ERP project and as I referred to in my opening comments about earnings quality. We generated normalized free cash flow of $26.2 million in Q1, which was similar to 2021. So in conclusion, we have made very good progress on a number of initiatives this quarter and we are beginning to see the results show up in our operational and financial metrics. This positions us very well as we look forward to traditional revenue growth and EBITDA margins towards the end of 2022. And with that, I'll turn it back to you, Stephen.
Stephen Liptrap: Thanks, Grier for your comments. Paul, do you want to go ahead and open the lines for questions?
Operator: [Operator Instructions] Thank you. So the first question is from Etienne Ricard from BMO Capital Markets. Please go ahead. Your line is open.
Etienne Ricard: So, on - first on pricing, if I heard you correctly, you expect to realize $7 to $8 million in higher pricing for your mental health and well-being business this year and by the end of this year a run rate of $15 million. So in other words, what percentage of your contracts do you expect to have renewed at a higher pricing by the end of this year?
Stephen Liptrap: Stephen here, I'll start and then Grier can add some comments. I think at a really high level what we wanted to do was take a very surgical approach to that. So, we actually went client by client, we took a look at utilization, we took a look at ROI, we took a look at returns and we took a look at pricing of those contracts. And then, we essentially reached out to those clients a pilot basis and then, as I mentioned, we're moving implementation. We're into it right now, and really went back to them and talked about ROI for them and the fact that we needed to invest more in our counselors, et cetera. As a result, we've got phenomenal feedback. We had a lot of really, really good comments coming back from clients. I think they very much appreciated what we're doing and that's what gives us confidence on 100 basis points kind of Q3, 150 basis points in Q4. But we have gone through all of our contracts and some of them were increasing larger amounts and some of them smaller and some were already at a reasonable rate. So, it really is a mix.
Etienne Ricard: Okay, understood. And is there in the opportunity for you - given the average life of the contract is 3 years to 5 years, is there an opportunity for you to renew all contracts before then?
Stephen Liptrap: Yes, what we did - and I think Grier team and business leaders did a really nice job, again going through contract by contract, and they were kind of in three different buckets. So, the first one were contracts that already had call it, built in and we obviously enacted and put those in place. The second were contracts that had significant usage but we're in the middle of, and that was really a conversation with clients that for us to be able to provide the fastest service and counseling connection we needed to invest a little bit more in our counselor network, in our call center and we needed them to be part of that and we had those solutions. And many of those clients came on-board the said, yes, that made sense. And we have a few clients, a very small number, that said, no under kind of my contract terms and we'll have conversations with them and those contracts come up. But most people really do understand in this world trying to retain people, trying to recruit people, trying to give the best for your employees, that they are able to get faster mental health support and well-being support, that's the competitive edge for them.
Etienne Ricard: And on the margin, I mean in Q1 salary costs were the lowest in the past 5 quarters. Was there a notable drop in the number of cases this past quarter, considering some lockdown measures, or do you see this as a good run rate considering the shift in the mix of in-house counselors?
Grier Colter: Maybe I'll start, Etienne and Stephen can jump in as well. So, I think this is a result of a couple of things. So it is the mix changing. So certainly, we've made very good progress on the mix. And moving to salary providers as also, you'll recall, in Q4 we put the IHS and HPS business together and part of the rationale for that was making this more efficient. We're seeing show up. I'd say those are the two largest factors.
Operator: The next question is from Graham Ryding from TD Securities. Please go ahead. Your line is open.
Graham Ryding: Grier, you touched on it there but this question is for either Stephen or Grier. But now that you've incorporated iCBT, that product within your IHS division more broadly longer term, or is there an opportunity here to use that product on a more regular basis so that it's more efficient in how you use here in-house therapist and ultimately drive your margins higher through spreading your therapist and sort of resources and capacity across a higher amount of VAP utilization?
Stephen Liptrap: Yes, hi, Graham. It's Stephen here. You're absolutely right. The reason that we really wanted to put those businesses together is we knew we're sitting on an amazing set of mental health services. When you think about EAP, think about iCBT, think about depression care, and the fact that we delivered some of that through benefit programs and we delivered some of that through EAP and some of that through iCBT contracts, pulling all that together and then we are going build a phenomenal front end in front of that to just make the experience seamless for every single person, just create a far better user experience, solve the client issue around all of these one-off solutions that people don't know how to use because they're buried on in Internet and then exactly to your point, we also have the ability to help people in multiple ways by doing that right. And it could be that I need accounts or I need to see them face-to-face. It could be that I need to watch a video. It could be that I need a couple of modules with an iCBT or frankly I think the future is going to be a mix of those things. So, I think someone [technical difficulty] we're going to do a quick chat with them, we're going to get them calmed down, we're going to let them watch a couple of videos, we're going to have them go through a couple of iCBT modules. They it might have a setback. They're going to go see a counselor face to face and then come back to some machine learning artificial intelligence. So, we see all of those coming together and we think we have phenomenal opportunity to pull those together.
Graham Ryding: So, is this something that I - like it's kind of a work in progress here where you're trying to figure out the right balance between charging I guess incremental to the iCBT product on one hand but on the other hand, using it more across your therapist to sort of operate more efficiently, you could - is it somewhat fluid at this point, is that - I guess that's my question.
Stephen Liptrap: Yes, I would say it's a natural evolution of our product and where we're going. So, iCBT was a great success pulling that together and fully integrating it in with what we're doing on mental support. So, even today if someone's coming again, we have the opportunity to leverage digital solutions and get them some help, both digitally and in person. And we'll just continue to evolve that as we move forward. But lots of opportunity I think in the long run on the margin standpoint, but even more importantly I think phenomenal opportunity to help people in more ways than we've been able to do in the past, which is getting at the ROI for our clients at the end of the day.
Graham Ryding: Okay, understood. When you talk about win-backs versus digital compare - competitors, are you referring to sort of renewing an existing contract that's put up for RFP or are you actually winning a contract that you previously lost?
Stephen Liptrap: Yes, this is winning a contract that we previously lost. So we have - we continue to have phenomenal retention rates. We're always between 95% and 98%. We absolutely continue that. We've seen nothing change against retention rates at all. But these are new sale win-backs. So, these are clients who might have gone and tried a digital-only or digital first competitor and their employees for those clients in particular were not satisfied with what they got. So, they've chosen to come back to us and get back to phenomenal service for their employees.
Graham Ryding: Okay, understood. And then my last question if I could, I think, Stephen, you made a comment about getting to mid to high single digit organic revenue growth this year. Is that - like are you targeting sort of a run rate as you exit the year or are you - or is that a target for 2022 overall?
Stephen Liptrap: Yes, that's our target for 2022 overall, Graham. We - if we take a look at all of the metrics that we track on a regular basis, so you think about our wins, you think about our sales pipeline, you think about our win rate, you think about our funnel and everything out there, all of those indicate that as we get to the end of the year we should be able to have 2022 growth in that mid-single digit range.
Operator: Thank you. The next question is now from Scott Fletcher, CIBC. Please go ahead. Your line is open.
Scott Fletcher: Thanks, good morning. Nice to see some win-backs in the quarter. I just have some follow-up question on there. Can you give us sort of an idea of whether those win-backs are coming back at a similar margin to what they would have been before they were there or maybe there is an opportunity to raise price as they come back, given that the contract just rolled off? Just some color there would be helpful.
Stephen Liptrap: Yes, great question, Scott. For the most part, they are either coming back at similar margins or enhanced margins. It really depends on the clients and what the rate was before. So, we look at all of them as we kind of do the bid when they went back to market. And as I said, we're pricing at the rate that allows our clients to get access to very quick either in-person or digital care. So yes, they're coming back similar margins or better.
Scott Fletcher: Okay, that's good to hear. A separate question for me, it looks like the tech-enabled recurring revenue was down sequentially. Could you just dig into that a little bit?
Stephen Liptrap: We had a slower quarter, as Grier alluded to, within our Admin business. Again, we continue to grow and win new contracts, but that business tends to be a little bit lumpier, as you win very large stakes and things like that. So, the tech-enabled within Admin was a little bit slower in the quarter.
Operator: [Operator Instructions] The next question is from Jaeme Gloyn from National Bank Financial. Please go ahead. Your line is open.
Jaeme Gloyn: Yes, thanks. Just want to make sure I heard the answer to Graham's last question. The organic revenue growth, that - you think it could get back to mid-single digits for the full-year 2022 over 2021 or run rate by the end of 2022? I just - sorry, I confused myself when you were speaking.
Stephen Liptrap: No problem, Jaeme, and thanks for asking for the clarification. Yes, I did say we're going to get back to you, the full year in the mid-single digits on a revenue basis.
Jaeme Gloyn: Good. On the pricing pilot, and don't take this negatively because I think getting anything done on this front outside of contract renewal time is a positive. Is the $15 million run rate, is that kind of the maximum that you would expect to generate out of the pricing pilot or is there a blue-sky scenario that sees you get something more than that?
Stephen Liptrap: Yes, Jaeme, let me start because I think there is a psychological piece to this where, yes, we're going to get the $15 million run rate as we come out of Q4. However, I think probably the more important thing is, as we work and we train and we talk to our client folks and our sales folks, I think they are seeing as we worked through it that what we offer is so much needed out in the marketplace. There's such a demand for it. And because of our either network or the number of our staff counselors we have, we've got the right and we have the ability because we provide faster service than anyone else to be able to say to folks that we - that costs a little bit more in general. So, we've really got the opportunity to get out. So, I think as we go forward, we will continue to be better at this. I think what Grier talked about on the pricing relates to this year. But we will continue to look at how do we add more services, how do we add more general care for the employee. And as a result of that, I think we're going to be talking to clients and I think there'll be ability over time to continue to taking pricing as we demonstrate more ROI to our clients.
Jaeme Gloyn: Got it. On the counselor mix, just want to quickly refresh. We're at 59% today, it's up nicely from the last quarter though the target is somewhere in the low 60s I believe. I just wanted to confirm that. And then, also where were we in the debt, let's say, of the counselor mix issues. I just want to get that back in my head.
Stephen Liptrap: Yes, so a couple of numbers, James, so a year ago, we would have been about 43%. Last quarter, as you know, we moved that up to 53% and then this time - 56%, sorry, and then this time we're 59% as we kind of go through that. Our target has been in the low to mid-60s. We think that's what makes up for the provider mix where we were before. We're on track to get there as we move through Q3 and Q4. So, everything within the work that the team is doing on that project is going very well and we continue to be able to add staff counselor capacity.
Jaeme Gloyn: Okay, great. And last theme for me is just around the impact of I guess Omicron and some of these fee-for-service items, obviously a pretty big step-down there. So, is that - like what is in the fee for service in there, is it iCBT in there or is it all just like the in-person childcare services, other in-person services that's in that - that's in the new HPS bucket?
Stephen Liptrap: Yes, that's one of the reasons, Jaeme, that we really wanted to strip that out for people so you could see that overall our market share is increasing in the core businesses and in our recurring revenue business, and the one-time fee for service - and you probably recall that when we had our calls around Q1 and Q2 of 2020 we faced the same thing. So to your question of what's in there, it's training. So - and otherwise, we go on site, we will train in organizations and employees. So, we continue to do some of this virtually, but there is still a number of services the clients go. With everything going on in the world, I don't need to run a wellness seminar on site and things like that. So it's that type of thing. It's trauma where every single time that there were significant events, you can talk about bank robberies and things like that, we would go on site and we would do on-site counseling, we would put our people, there for - it might be a week or something like that. And obviously, there is a lot less of that going on when you're into a lockdown. You're exactly right. It's child support services where people bring their kids to us for speech therapy and things like that. And with Omicron, we had to shut down those facilities. We couldn't provide those services. So, it really is the in-person stuff that people pay for on - through fee basis. And every time there is a lockdown, as we saw in Q1 with Omicron, as we saw in Q1 and Q2 of 2020, those businesses get impacted, which is why we thought we would call that out and make it easier for all of our investors and our documentation.
Jaeme Gloyn: Okay, so that -
Stephen Liptrap: So, Jaeme, I was just going to say, those should come back obviously as we move through the year and people get back to the workplaces and teams get together and everything else.
Jaeme Gloyn: Okay, great. And as I'm just thinking about some of the variable revenues, the 15-5 in Q1, would there have been anything in that quarter to lift that revenue line, maybe there was some pent-up demand from previous quarters not being executed. I guess, how - is the $4.5 million delta, is that fully recoverable or is maybe Q1 a bit higher than maybe a normal quarter for maybe its variable revenue line?
Stephen Liptrap: Yes, Grier might have a couple comments but me, no, there's - it should be fully recoverable. There's no reason it wouldn't be. It will come back as people bring their employees back to the office. I don't know if you want to add any color, Grier?
Grier Colter: I completely agree. I mean I think that Q1 2021 is more of a normal type number for that, Jaeme. So, if you look at Q1 2022, I think what we're saying is it's been impacted, it's not normal.
Jaeme Gloyn: Yes, okay. So that - like that $4.5 million drop would be something that I could say is like Omicron related impact or lockdown related impact? That's it from me. Thanks.
Operator: Thank you. There are no further questions registered at this time. I will turn the call back to Mr. Liptrap.
Stephen Liptrap: Thanks very much, Paul. We continue to execute against our strategic plan and are excited about the future. We welcome you to join us at our virtual shareholder meeting at 10.30 today. Login details are available at our website. I'd also like to end by expressing my thanks to everyone on the call. We continue to appreciate your interest in our Company, and we look forward to other opportunities in the future, including these calls, to keep you up to date on what we're doing to drive our growth and success as a business. Thank you.
Operator: Thank you. The conference has now ended. Please disconnect your lines at this time and we thank you for your participation.